Operator: Good morning, and welcome to the QTS 2020 Q1 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Stephen Douglas, Head of Investor Relations. Please go ahead.
Stephen Douglas: Thank you, Operator. Hello everyone, and welcome to QTS's first quarter 2020 earnings conference call. I'm Stephen Douglas, Head of Investor Relations at QTS, and I'm joined today by Chad Williams, our Chairman and Chief Executive Officer; and Jeff Berson, our Chief Financial Officer. We're also joined by additional members of our executive team who will participate in Q&A. Our earnings release and supplemental financial information are posted in the Investor Relations section of our website. We have also provided slides and made them available with the webcast and on our website to make it easier to follow our presentation today. Before we start, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties including those related to the effects of the ongoing COVID-19 pandemic, as described in our SEC filings, and actual future results may vary materially. Forward-looking statements in the press release that we issued yesterday along with our remarks today are made as of today, and we undertake no duty to update them as actual events unfold. Today's remarks also include certain non-GAAP measures including NOI, FFO, operating FFO, adjusted operating FFO, monthly recurring revenue, ROIC, EBITDA, ROE, and adjusted EBITDA. We refer you to our press release that we issued yesterday and our periodic reports furnished or filed with the SEC. For further information regarding our use of these non-GAAP financial measures and a reconciliation of them to our GAAP results. And now I'll turn the call over to Chad.
Chad Williams: Thanks Steven. Hello and welcome to QTS's first quarter 2020 earnings call. Before reviewing the operating and financial results of another strong quarter for QTS, I'd like to begin my comments by providing an overview of the key business continuity initiatives we have activated in response to the COVID-19 pandemic. Turning to Slide 3, we continue to closely monitor developments with respect to COVID-19. While we will share what we have observed thus far and how we plan to continue to monitor and operate as this situation further unfolds, we are obviously not in a position to predict the ongoing magnitude or length of the impact of this global pandemic. The safety and wellness of our QTS's, partners and customers combined with our commitment to resilient data center performance are and will remain the highest priorities. I'd first like to thank each of our QTS's for their dedication, resiliency, and flexibility during a time of unprecedented disruption across the economy, and in many of our personal lives. And yet, despite this disruption, our customers need for continued uninterrupted world class data center performance did not change, and in fact it increased. QTS is truly powered by our people, and win tested such times like this, I'm proud that our QTS's have stepped up to the challenge and delivered for each other, our customers and our communities, demonstrating their commitment to our culture of service. We have taken multiple actions to reduce the risk based on our pre-established pandemic response plan to safeguard our employees, partners and customers. And we continue to adjust our initiatives in response to what remains a dynamic situation related to COVID-19. These actions include educating our employees and customers on mitigation strategies, non-essential travel restrictions for employees, and acting our remote work policy for all non-essential data center operations personnel, daily monitoring of all on-site staff for symptoms and implementation of strict visitor guidelines for those coming into the data centers in the U.S. and Europe. In addition, we've activated longstanding pre-established business continuity, emergency response and pandemic response plans that provide for resiliency against unpredictable events. These plans collectively address how QTS mitigates the spread of the illness and maintains business continuity across our operations, IT, security, construction, supply chain and general business support functions. As a result of strong execution of our business continuity plans, each of our data centers in North America and Europe remains fully operational. Across each of the jurisdictions locally in which we operate, QTS has been deemed to operate a central infrastructure, which allows us to remain fully staffed with critical personnel in place, and we remain confident in our ability to continue to provide comprehensive 24x7 service and support for our customers. From a supply chain perspective, given the long lead time generally associated with the larger components in a data center such as generators, UPS systems and chillers, we've already secured the vast majority of equipment needed to complete our 2020 development activity. In response to the continued uncertainty related to impact of COVID-19, we've also accelerated the acquisition of additional infrastructure equipment to support our early 2021 expected development activity around our customers continued growth expectations. We have seen modest delays in construction activity and a few of our markets primarily as a result of availability of contractors and slower permitting. However, these delays are measured in days and or weeks and none of these delays at this time are expected to create a material impact in our anticipated infrastructure delivery to customers. Next on Slide 4, during 2019 QTS successfully accomplished our goal of digitizing our internal and external systems end-to-end. This included the integration of an industry leading software platforms including sales force, service now, and work day into QTS's Service Delivery Platform or SDP to enable enhanced internal operating capability for QTS employees. These initiatives have accelerated our efficiency and have been critical, I believe in enabling our business to continue to operate effectively in the current expanded remote work environment. SDP remains a powerful differentiator for us as well, as in the marketplace. The investments we've made to enable software defined data center platform empowers our customers to remotely interact with our data centers and QTS services with digitized orchestration capability that largely has not existed in the data center industry before. Examples of remote access and capability include provisioning multi-cloud and site-to-site connectivity and real time bandwidth management, viewing and managing real time power utilization, full visibility of customer's inventory of assets within the data center, and executing online ordering. SDP has been a key contributor of QTS's market share growth over the last several years, and its differentiation of value to customers has only accelerated in the current expanding remote workplace. Today, we have over 17,000 users on SDP across the base of 1200 plus customers. Since the beginning of March, the number of new and unique logins to SDP has increased approximately 40%. In addition, SDP session times across all users is now averaging approximately 30 minutes, which is approximately 50% since the beginning of March. Over the same time period, the top SDP users are spending nearly twice the amount of time on the platform with session times now averaging approximately an hour. For our customers, data center and IT managers whose primary role is to ensure the performance of their critical business applications and infrastructure, SDP has become an essential tool to performing their daily jobs. With customers limiting their onsite access to the data center infrastructure as a result of COVID-19, our customers are relying on SDP to provide them with the data they need to effectively manage their data center deployments. SDP also proved to be powerful tool for our sales force given more limited ability to currently to provide physical in person tours of our data center facilities. Since the beginning of March, our sales team has conducted almost 200 unique SDP demos, which represents a nearly 800% increase in activity. Through new functionality including our 3D Mapper tool, which provides a high resolution map of each of our data centers and individual proposed customer footprints, we have been able to virtually provide access to our data centers to both existing and prospective customers. In addition as mentioned, our data center remains fully staffed with critical personnel in place. Through SDP, customers are able to remotely provision additional services including Remote Hands and Eyes facilitated by our onsite data center operations personnel. Since the beginning of March, QTS has realized a 17% increase in incremental signed revenue associated with Remote Hands and Eyes services over the same period a year ago. While relatively small and absolute dollars terms, our ability to effectively stand in for our customers during their time of need with critical services such as Remote Hands and Eyes further strengthens our customers relationships and long-term retention. We expect to continue to invest in our SDP platform to accelerate our differentiation and capitalized on the increasing value that our customers continue to drive from our software defined approach to data center infrastructure. With increased customer usage over the past several weeks, SDP is providing critical management ability and peace of mind for customers, as well as the QTS team in managing our infrastructure. Now moving on to financial performance on Slide 5. QTS delivered another strong performance during the first quarter, continuing a trend of consistent growth in financial and operating results. During the first quarter, QTS generated total revenue and adjusted EBITDA of approximately $126 million and $67 million respectively, representing a year-over-year growth of approximately 12% and 13.5% respectively. Our adjusted EBITDA margin during the first quarter of 2020 was 52.9%, representing a year-over-year margin expansion of approximately 70 basis points, which reflects continued operating leverage in our business as it scales combined with our ongoing efficiencies we're seeing from our various digitization initiatives. Importantly, as we've been in the case over the last several quarters, our consistent performance has been driven by contributions from each of our customer verticals, hybrid colocation, hyperscale and federal. The diversity of our sources of growth enables our business to perform we believe in a variety of different demand cycles, including during periods of economic disruption like the present one related to COVID-19. Next on to Slide 6. During the first quarter QTS new and modified leases representing approximately $22 million of incremental annualized revenue, which is approximately double our reported leasing in the first quarter a year ago. We experienced consistently leasing performance over the course of the first quarter. This includes during the month of March in the midst of the ramping COVID-19 related concerns in the market when we signed approximately a third of our quarterly leasing volume. Our first quarter leasing performance reflected continued strength in our hyperscale business combined with steady enterprise demand. During the quarter, our hyperscale vertical contributed approximately two-thirds of QTS's overall leasing performance, and we're pleased that the majority of those leases were signed at the higher end of our 9% to 11% target hyperscale return on invested capital range. Q1 leasing included a 5 megawatt expansion in Ashburn with the customer who was a new logo for QTS in 2019, including their initial 10 megawatt signed lease last year and subsequent 5 megawatt expansion in the first quarter of 2020. We have now sold more than 75% of our available capacity in our Ashburn data center. We officially opened our Ashburn facility a little over a year ago and in the midst of a competitive market in Northern Virginia now see a potential path to fully leasing the entire 32 megawatt facility by the end of this year, assuming the current trends continue, which is tremendous accomplishment for our team. Our Q1 hyperscale leasing performance also included a significant incremental expansion with an existing customer across two QTS sites. In conjunction with our fourth quarter 2019 earnings call, we announced the commenced development on a new facility in Hillsboro, Oregon, anchored by an approximate 4.5 megawatt lease with this customer. The majority of which was signed during Q1. In addition to the lease signing in Hillsborough, this customer also signed an approximate 4.5 megawatt lease during the first quarter in our new downtown Atlanta facility currently under construction, together with the previously announced 12 megawatt lease signing with a separate existing hyperscale customer. We have now preleased more than 16 megawatts of the new downtown Atlanta development, which is set to open in mid 2020. We are pleased to continue to demonstrate strong momentum in the Atlanta market driven by our 500 plus embedded customer base, ongoing operating and power cost advantage and dense built out interconnectivity ecosystem. During the first quarter, our hybrid colocation vertical continued to deliver consistent performance as a result of the ongoing COVID-19 pandemic. We have seen a number of existing enterprise customers accelerate their infrastructure investments to support the broader remote workplace environment. Since the beginning of March QTS has assigned IP bandwidth upgrades representing a 700% increase over the same period a year ago. While the overall financial impact from the increased bandwidth is relatively small, at less than $1 million of annualized revenue. It demonstrates the increased critical role that QTS is serving for our customers during their time of need. In addition, the first quarter we saw a 42% increase in reoccurring revenue signed associated with incremental cross connects. Today interconnection represents 8% of QTS’ overall reoccurring revenue. And we expect that to continue to drive that percentage higher over time as customers accelerate their infrastructure deployments. The ability to further monetize our datacenter infrastructure through incremental services like cross connects and remote hands and eyes remains a core strategic focus for QTS and with the key contributor to our positive renewal pricing for the quarter. Turning to our federal vertical, while we did not sign any large leases during the first quarter in federal, our confidence around this business continues to build. And we look forward to executing on our strong funnel in future quarters. With the needs from the federal government continuing to grow combined with an increased focused on outsourcing QTS is very well positioned to accelerate this vertical with attractive return on capital opportunities. We are pleased to have started 2020 off with strong leasing performance well ahead of our quarterly net leasing target of 15 plus million for the year. In fact, we're already off to a strong start in Q2, based on our signed leasing performance so far in the second quarter and pipeline visibility. Assuming current trends continue, we expect to outperform our quarterly net leasing targets again in Q2 which provides incremental confidence in achieving our financial growth and performance objectives. Continued strength in our overall leasing volume resulted in a backlog of signed, but not yet commenced annualized reoccurring revenue of approximately $101 million at the end of Q1. This is the first time in our company's history that our backlog has exceeded $100 million. And we're obviously very pleased with the tremendous visibility it provides in our growth in 2020, and 2021. Overall, we're very pleased with our financial and operating performance in the first quarter. The strength of our leasing funnel and diversified business model sets the stage, we believe for continued strong performance this year, and we look forward to executing on our strategic objectives. With that, I'll turn it over to Jeff Burson, our Chief Financial Officer. Jeff?
Jeff Berson: Thanks Chad, and good morning. Turning to Slide 8 QTS diversified business model supports a base of over 1,200 customers across a variety of industry verticals. More than 50% of our in-place recurring revenue is generated from customers within the content and digital media and cloud and IT services industries. Although the COVID-19 pandemic has created far reaching disruption across many industries, our customers within the technology vertical, in many instances are seeing accelerating demand for datacenter infrastructure. In fact, we've seen several of our larger hyperscale customers looking to potentially accelerate their deployments in part related to derisking future datacenter infrastructure needs in light of continued uncertainty created by COVID-19. QTS’ exposure to some of the industry's more directly impacted by COVID-19 including retail, transportation, oil and gas and hospitality today represents less than 10% of in-place recurring revenue. Given the economic disruption from COVID-19, we've experienced a modest amount of customer requests for payment relief concentrated in these industry verticals. In total, the revenue associated with customers requesting some form of payment relief represent less than 5% of overall revenue. Importantly, of the small number of customers requesting some form of payment relief, the large majority are current today on their rental payments. And while QTS has not reduced their future payments, we have in certain circumstances provided additional flexibility in the form of extended payment terms. QTS remains committed to continuing to support our customers during this time of need. In spite of the evolving economic environment, trends within our embedded customer base remain healthy. Same space renewal rates during the first quarter represented an increase of 5% which is consistent with our general expectation of renewal rates increasing in the low to mid single-digit percentage range. In addition, churn within our customer base has remained consistent with historical trends. Churn during the first quarter was 0.6% and we are reiterating our full year churn guidance of 3% to 6%. Now moving to our equity funding activity on Slide 9. As of our Q4 earnings release on February 18, QTS had access to approximately $220 million of net proceeds through forward stock issuances. During the first quarter of 2020 QTS settled 1.9 million shares of forward equity for net proceeds of approximately $83 million to support our ongoing development activity. Subsequent to our fourth quarter 2019 earnings call through our ATM program approximately 3.8 million of incremental shares of common stock have been sold at an average gross price above $55 per share, which represents approximately 205 million of net equity proceeds on a forward basis. This results in net proceeds through forward stock issuance available to QTS of approximately $342 million as of yesterday's earnings release. Based on QTS’ current 2020 CapEx guidance, forecasted growth and adjusted EBITDA and retained cash flow. These available equity proceeds represent funding sufficient to support QTS’ capital development plan for the full year 2020 and into 2021. QTS’ typical funding approach is focused on accepting capital to support our development activity two to three quarters in advance of the capital need. However, in light of continued capital market volatility as a result of COVID-19, we believe it is prudent to shift our strategy to secure funding for our business, three to four quarters or more in advance of the capital need. Next on Slide 10, I'd like to review our current balance sheet and liquidity position. As of the end of the first quarter, pro forma for the $342 million of available forward equity proceeds, we had total available liquidity of approximately $980 million. We currently have no significant debt maturities until 2023 and beyond and approximately 70% of our indebtedness is subject to a fixed rate, including a series of interest rate swap agreements. We ended the first quarter with approximately $172 million of cash sitting on our balance sheet, which is well in excess of the $10 million to $15 million we typically hold at any given time. As a result of heightened volatility in the capital markets, we made the decision in the beginning of March to bolster our cash position and increase our bad debt reserve. We have since reduced our cash position to a more typical level as capital markets have begun to normalize, but we'll continue to closely monitor the situation. We ended the quarter with pro forma leverage of approximately 4.5 times net debt to annualized adjusted EBITDA including the $342 million of available forward equity proceeds. Excluding forward equity proceeds are leveraged at the end of the first quarter was approximately 5.8 times. We remain comfortable with our current leverage profile, which is supported by our significant booked-not-billed backlog, and derisked equity funding. We currently expect to drawdown our forward equity proceeds over the coming quarters to fund our future development plan while maintaining leverage at a level consistent with where we have historically operated. Turning now to our financial guidance on Slide 11, we are reiterating our guidance for the full year 2020. We continue to expect reported total revenue of between $523 million and $537 million and adjusted EBITDA of between $275 million and $285 million. For OFFO per share, we expect a range of between $2.69 and $2.83. And lastly, our CapEx guidance range is unchanged at $550 million to $600 million excluding acquisitions. Against the dynamic economic backdrop, we are pleased with the consistency of our performance supported by the diversification of our business model and healthy customer base. With continued strength in our leasing activity and a development plan that is fully funded for the full-year 2020 and into 2021, we are focused on delivering predictable financial and operating results. In addition, we will continue to monitor capital market activity for opportunities to drive incremental efficiencies in our balance sheet and further de-risk our growth initiatives going forward. I'll now turn the call back over to Chad.
Chad Williams: Thanks Jeff. We're pleased to kick off 2020 with strong performance in the first quarter with visibility for continued leasing execution in Q2. We have leveraged our core differentiators to drive continued market share growth including leadership and sustainability initiatives, cost advantage mega-scale infrastructure, operational capability and track record in the federal business, and our continued strong commitment to fully digitize premium customer experience through QTS’s software defined data center platform. We are convinced the growth opportunity for QTS remains robust in 2020. And we're focused on maintaining a consistent level of performance through the year. Over the course of the next several weeks and months, we will remain diligent in safeguarding our employees, customers, and critical infrastructure to the best of our ability, while continuing to monitor the developments related to COVID-19. I'd like to close by thanking our QTSers for their resiliency and commitment during our customers and communities critical time of need. In addition, I'd like to recognize and express our deep appreciation for the nurses, doctors, police, fire, and National Guard organizations for their dedication to public service that's enabling our safety. As always, I'd like to thank our customers, shareholders for their continued trust and confidence in QTS. With that, I'd be glad to take your questions. Operator?
Operator: [Operator Instructions] Our first question will come from Jon Atkin with RBC. Please go ahead.
Jon Atkin: I guess I got two questions. One about the backlog, and then one about maybe commercial trends. And I'm just interested in whether there is any sort of a push out from 4Q into 1Q in terms of - or any of the backlog that got shifted from 1Q '20 into the balance of the year, and look at your leasing performance and then this quarter and then compared to your backlog going forward seems like there is a little bit of a differential, I wonder if you can comment on that. And then on the commercial trends, you sounded quite positive about the quarter today trends and the prospects for hitting the kind of the $50 million plus. Any way to quantify either in megawatts or dollars, what you've seen quarter-to-date and the confidence that you had around Ashburn that you been maybe pulled in any sort of commentary about JEDI, and what role that plays in your thinking going forward. Thanks.
Chad Williams: Jonathan, this Chad. I'll take the commercial part. We feel confident about 2Q. And that's, it's just - we've gotten some work done already in April. I'm not going to get into specifics about that. But we feel very confident about our 15 plus net leasing target for 2020. And we've just seen good trends, we've seen good trends across hyperscale, we've seen good trends in hybrid enterprise. And in federal, we continue to see things that make us feel like there is great opportunity ahead for us in that. So Ashburn specifically, it's just been a great accomplishment of the team, one of the most concentrated data center markets, but obviously one of the strongest data center markets in the world continues to be a great place for data centers, and ours is differentiated, and I think it's a great accomplishment in the short time that we've been open to have it 75% leased in a path that we feel like that by the end of the year, we should have the Ashburn facility completely booked and that's just a great accomplishment for our team. Jeff, do you want to talk about the booked-not-billed backlog?
Jeff Berson: Sure John. So your question as to whether we had deal shift and I wasn't sure if that was from Q4 '19 into Q1 '20, or Q1 '20 into Q2, but the answer regardless is that we always have different circumstances where some deals may shift and some deals may accelerate. I'll tell you, there was nothing unusual in terms of movement and deals between Q4 of last year and Q1 of this year, and nothing unusual in terms of any Q1 deals slipping into Q2. That being said to Chad's point, even as we're still ending just the first month of Q2, we do feel good about the visibility we've gotten the leasing pipeline in Q2, and again, so nothing unusual as it relates to the current market environment around any of that. From a booked-not-billed backlog to Chad's point, our target for average quarterly leasing in 2020 is 15 plus million per quarter. We love the fact that we ended Q1 well above that, and we've got a target towards Q2 that could track assuming things continue the way we see it to be above that as well. All of that should drive increased booked-not-billed backlog, but at the same time, as we're delivering on some of these larger deals that we've signed, and bringing that into service, it wouldn't be a typical to see that backlog also come back down to a more normalized level.
Chad Williams: And Jonathan specifically on the JEDI question, coming back to federal, I know JEDI gets a lot of attention in the press, but there's a much broader market for federal data center opportunities than just JEDI. So I think JEDI continues to be in the news, but I wouldn't read that into anything from our standpoint, we're just working hard and developing kind of our business around that part of the business, and feel very good about the federal government, they continue to create a lot of data and continue to be more and more open to outsourcing. And I think those are just good trends that we have. We feel good about.
Jon Atkin: Quick follow up on Ashburn and then cross connect. On Ashburn the 5 megawatts, is it fair to assume that might have been side in the early part of the quarter pre-pandemic? And then on conductivity just you mentioned 8% of recurring revenues, any kind of color on cloud on ramp business, AWS Direct Connect that you got in Chicago and then a lot of the SDN partnerships, how many of your cross connects were coming through those sorts of partnerships versus just direct customer-to-customer?
Chad Williams: On the first question, the quarter ended strong. So March got a lot of activity as we talked about, so I wouldn't read into it that it was all weighted at the beginning, which was a good sign for us. It remained strong through consistent through the quarter.
Jeff Berson: Jon, do you want to jump in on Jon Greaves on cross connects and what we've seen in the SDN network?
Jon Greaves: Yes, absolutely, Jeff. And Jon, what we've been seeing is, as you might imagine customers looking for ways to dynamically increase capacity to cover both remote working. And frankly, as they've been trying to change and modify their own businesses bringing new product and service to business then the cloud on ramps have been great supporting them. We've been seeing again increased use of those either directly through our own Direct Connect mode or through our partners that we work with in terms of the SDN world as well. So I think you're exactly right in your commentary there.
Operator: [Operator Instructions] Our next question will come from Jordan Sadler with KeyBanc. Please go ahead.
Jordan Sadler: So [technical difficulty] relative to the execution, and I'm curious for the customer [technical difficulty] is it true, or the like exceed the one to three hyperscale this year [technical difficulty] and then sort of what are you seeing from these customers [technical difficulty] towards space. And do you believe that this is a pull forward of future demand that we're starting to [technical difficulty] business?
Chad Williams: I think that what we're seeing is just continued opportunities within hyperscale. Yes, you know from a strong start with hyperscale and having a couple of deals in first quarter. I don't - we’re not change in our one to three deals, but it does give us good confidence to start the year off with a couple of strong additions to hyperscale. I think, continues to be a lumpy business, right. The strength I think, from my perspective on QTS is that we have, a strong hybrid enterprise business that consistently provides results. We have federal opportunities to accelerate, and hyperscale continues to be an accelerant to our business. So, we're fairly particular about the type of deals that we're going to do, they're going to have to work in the facilities that we have where we have the right returns and overall value to our business. But, I think you're going to see the tech companies are growing, and I think they're going to be active this year, but it's still a lumpy business.
Jordan Sadler: And in terms of your characterization of it, you would think - call this more of a regular way or you'd call this more of an acceleration or pull forward of some future demand in sort of the digital transformation, everybody is…
Chad Williams: I think it's hard to talk about anything normal right now. I obviously feel like the digitization has accelerated. And lots of companies are experiencing that. I'm just glad that we were positioned for it. And I think the hyperscalers are going to be pretty active in making sure that they're ready to take on their customers demand. So I think they're going to continue to be focused on making sure they've got space and power in the right locations.
Jordan Sadler: Okay. And my follow- up is on bad debt, the reserve look in quarter, could you quantify that for us and maybe give some context relative to the affected customers asking for relief, and then any update - rent collection date?
Jeff Berson: Yes sure, Jordan. So in general, we - as we look at where we stand with our customers, we still feel very good about the strength of our customer base. As evidenced by, not only the performance, towards the end of Q3 - sorry towards the end of Q1, but also from a guidance standpoint for the rest of 2020. Again, given that less than 10% of our total revenue is from an aggregate customer base within hospitality, transportation, oil and gas and retail. And we've got some great customers in those verticals. Those are just verticals where there's some volatility, but we've got some great and strong customers. There's good diversification within that list. The customers that have asked for extensions again, it's far less than 3% of our total customer count, its less than 5% of our total revenue in-place. And the majority of those customers are all in good standing with us today. The extensions that we've offered to those customers first of all, we're not offering relief in payment but extensions. And those extensions are one to two months generally so, nothing very extreme. To your point Jordan from all of that, we have seen cash collections through April that are still consistent with where we've been in the past. So we haven't seen drastic changes there. We've seen receivable and receivables through last week, consistent with where we were in the first half of the year pre-COVID. So, all of that goes to say that as we looked at the bad debt expense, there is uncertainty around COVID. We don't know what we don't know, we want to be mindful of the fact that there's uncertainties in the world. If you look at the total bad debt expense that we have in our business today and reserve, in aggregate it still represents less than 1% of our total in-place revenue.
Operator: Our next question will come from Colby Synesael with Cowen. Please go ahead.
Colby Synesael: I'm just curious when you think about your leasing expectations for the second quarter, you're noting north of $15 million as your expectation. Just curious what your thoughts are on hybrid cloud demand and what - I guess maybe enterprise. And whether or not your expectation is that for to remain at the levels that you saw in the first quarter or if that's expected to modestly dip, but effectively be made up with hyperscale? And then secondly as it relates to pricing on the leasing that you did the pricing, the number that you guys give us seemed a little low - relative to what we seen in the last few years. I know you mentioned two-thirds of the leasing in the quarter came from hyperscale. But you also mentioned that you are towards the higher end of your current threshold. Just wondering if you can give sort of what color dependent - see how you got there? Thank you.
Jeff Berson: Sure Colby. Let me let me first hit on the leasing, let me be very clear so there's not a misunderstanding in terms of leasing expectations for the quarter. So our model and the way we had looked at our business in 2019 was that the model worked if we had average quarterly leasing of about $14 million per quarter. We were very pleased that over the course of 2019, we did far better than that, and actually put up leasing at average closer to $19 million per quarter. The $15 million of quarterly leasing for this year is less of an expectation more of as we modeled our business if - the model work at $14 million of average quarterly leasing in 2019. We want to grow our business at double-digits, we clearly needs to be at 15 plus average leasing for 2020. And so, we've used sort of 15 plus as the basis under which the model still works. And we continue to put up the growth that we think is leading the market. And so that's really what that 15 means, the fact that we started at almost 22 the fact that we have visibility going into Q2 of higher than that 15 gives us great confidence in the business. So what we're not trying to imply is that we expect leasing to drop materially in the second half. But that if our model works at a 15 million average and we start the first half of the year well above that, we're just in a good position in terms of again, some evidence as to why we're reaffirming our guidance. On the pricing side, a little bit of color around the pricing. So the pricing that we're showing there is on a per square foot basis. And so, you seen a little bit of shift in terms of some of the higher pricing that you saw during Q4 of last year, and the pricing of Q1, but it's really more about the density of those customers. So we did a big hyperscale deal in Q4 that was a much denser customer infrastructure that they develop there. And so the pricing per square foot because they were taking more power relative to their square footage was significantly higher than what you saw in Q1. In Q1, the returns around that are still the majority of the returns and the hyperscale we did in Q1 are at the high end of that 9 to 11. It's just a lower density and so that's why the pricing per square foot looks a bit lower. Chad, you want to jump in could you just?
Colby Synesael: And on the hybrid side?
Jeff Berson: Sorry, go ahead, Colby. No, that was it - so go ahead please. Sorry.
Chad Williams: We continue to see good discipline the hybrid enterprise continues to be the engine of QTS it just is consistent reliable and that team it continues to perform. So - where you might see some parts of the enterprise to Jeff's point on some of the industries that are having, more of a more of a tough time with the whole pandemic. You've got other parts healthcare, financial, and in many others that are just accelerating their enterprise business. So, we think that there's a great balance and it continues to be a consistent reliable performance engine for us.
Colby Synesael: So Chad, I guess from our perspective, when we're thinking about modeling it mean, lots of puts and takes, no promises being made, but generally speaking, it sounds like your expectation to be that for hybrid demand in terms of aggregate dollars associated with leasing should be relatively consistent with what we’ve been seeing the last few quarters.?
Chad Williams: Yes, we feel good about it.
Operator: Our next question will come from Nate Crossett with Berenberg. Please go ahead.
Nate Crossett: On enterprise accelerating investment, but can you kind of give us a gauge of the percentages there. How many customers are accelerating versus say, kind of wait and see mode? And are there any verticals that are going in acceleration that has surprised you?
Chad Williams: Yes I mean, as I said on the previous question, you're seeing certain industries, financial services, healthcare, a number of those type of, cloud and IT and infrastructure, SaaS-based companies. They’re all, focused on accelerating their opportunity. So, we feel like there's a, enterprise it's one of the great things about enterprise with hybrid, right? It's not 25 or 30 hyperscale companies, it's hundreds of Fortune 1000 companies that are, in the midst of the biggest remote work experience they've ever had. So - it just absolutely gives you the opportunity to have conversations. I mean for us, the ability to take that digitized software platform and SDP service delivery platform and be able to still show them the ability to operate in a digitized world, even at the point of sale and tours, is a powerful differentiator. So we continue to feel like the team is seeing good demand trends and we feel good about the opportunity to be consistent with our hybrid enterprises business.
Nate Crossett: Okay. And then just one on sourcing materials for development. Could you give us some color on the supply chains at the moment, and then I'm facing as have been harder to source materials and as raw material prices gone up?
Chad Williams: No, I mean in some cases, the source material obviously you've seen things like oil and different things going down. So some of your raw materials have actually gone down. Our supply chain is stable. We've secured the inventory and parts and pieces that we need to deliver the majority of our 2020. We've even lean forward on some of the 2021, you should think about supply chain disruption in days or weeks and nothing that we feel like is substantial, and we'll keep the market posted, but we haven't - I've been on phones with our supply chain at the CEO level and people feel like that they've got a handle on it. We'll continue to monitor it, but no huge or disruptive interruptions to-date.
Operator: Our next question will come from Michael Funk with Bank of America. Please go ahead.
Michael Funk: Yes, thank you for taking the question this morning. Couple if I could. So first on Ashburn, appreciate the comments about the 75% occupancy and potentially getting full occupancy by year-end. I mean, how are you thinking about getting to full occupancy and balancing that versus kind of increasing the return on invested capital, meaning holding out for higher pricing? And kind of related thing question, what are you seeing in terms of price ranges in that market in Ashburn?
Chad Williams: On consistent pricing, I mean, hybrid enterprise is a little different than federal and federal is a little different than hyperscale, so we've got a good balance. And Michael I think the point is that we are making choices. We said no to some deals in first quarter. So we're not doing every deal. Not every deal is the right fit. We're being disciplined on our return on invested capital. And that's why you're seeing that we're comfortable in the deals that we're talking about being in the range and in some cases at the high end of our range for hyperscale. We're not seeing any huge disruptions and we feel confident about the pace of the business.
Michael Funk: And then one follow-up if I could. Appreciate the comments on cross connect's growth this quarter. Do you anticipate or believe that's going to be durable? Or do you expect some enterprise customers might pull back or dial that back as we move out of the current working home environment?
Chad Williams: I think that just my personal opinion is that when people and we will get through this event, I think the chances that people pull back and don't take on the remote work of the future conversation, I think it's going to be the opposite. I think people are going to try to prepare for what obviously could happen again in some form or fashion. So I think people are going to learn from this, and they're going to try to be better prepared in the future. I think all of us have got lessons learned from this unique time. And I don't see too many Fortune 1000s if you're going to not try to be better prepared the next time.
Operator: [Operator Instructions] Our next question will come from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Thanks very much. I'm just continuing in that vein. What are you seeing on new logos, maybe you just characterizes a conversation, are you having new people come to you now with a new interest in doing a broader hybrid type deployments? Are you seeing maybe people look more to the more established players rather than maybe some of the newer entrants in the space? Any color that would be great. Thanks.
Chad Williams: Yes, I think the SDP, a lead indicator for us is just the SDP demos. And as we talked about on the call, our demos of a couple hundred demos feels like we got good visibility across our verticals. And we're not just doing SDP demos for one part of our business, we're doing them for all. So there is a good consistency and reliability. As far as the established players go, I think from our standpoint, it always helps to be established, have operational maturity, we hear that quite often for our customers. It is a time where customers are focused on the strength of your balance sheet and your operational maturity, and more importantly your differentiation, and we're just very strong in all three of those. So we continue to see that broader demand in all of our areas.
Simon Flannery: And just follow-up on Ashburn. So do you think there is a sense here that from your comments, it seems like the demand supply, the competitive environment is rationalizing over the course of the last couple of quarters?
Chad Williams: Yes, I do. I think Ashburn has been good for us and others.
Operator: [Operator Instructions] Our next question will come from Frank Louthan with Raymond James. Please go ahead.
Frank Louthan: Great. Just the one question. So I guess my question is back on the enterprise. I can appreciate that the commentary around you less than 10% of your base is not highly impacted sector, but how do you think about that as far as impacting growth, and what happens when that as the growth from - lease that 10% slows down or is non-existent or other businesses make decisions differently in a recessionary environment they have in the past? And how does that affect your ability to hit the midpoint or better have guidance or should we consider that more of a wider range here?
Chad Williams: Well, Frank, on the first part, I mean, we are seeing - obviously, there are some industries hit far harder than others. But I don't - I think that's why, we've tried to be pretty clear about feeling good about the 15 plus million dollar target per quarter, and that's why we're seeing other areas of the business, which 50 plus percent of our business comes from existing clients expanding and in a big chunk of that is in cloud and IT and SaaS base companies that are growing. So the small area of concentration within the areas that maybe have a harder impact economically, I think the growth side of it, we still feel good about the numbers in the areas of the leasing performance for the rest of this year. Jeff, you want to take the guidance?
Jeff Berson: Yes, Frank. I mean, I think that we're still comfortable with the guidance range. I'm not looking to narrow within that, but we feel very good particularly in light of having some incremental bad debt accruals, and some of the costs related to COVID just to - across the business and across the industry, whether that's just cleaning costs, maintenance and monitoring costs. Even with that, we obviously have a lot of confidence in terms of customer growth, given that we're maintaining the guidance and still feel very comfortable with that level.
Operator: Our next question will come from Brett Feldman with Goldman Sachs. Please go ahead.
Brett Feldman: Yes, just a quick follow-up and one other. Can you give us any colors to what portion of your booked-not-billed backlog is exposed to those same verticals just want to sanity check whether the mix has changed a lot? And then your commentary around your capital plan being funded through next year based on the steps you took this quarter. Does that also include anything you might be doing with your JV partner win there or is just addressed separately? Thank you.
Chad Williams: Sure, Brett. I mean, in terms of the backlog, we haven't done a specifics breakout of the backlog by those verticals. But as we look at the backlog, we look at the customers that are representing those backlogs. They are very large, very established, the backlog is always going to be weighted more towards hyperscale, because there is a longer book-to-bill lag. And so we can look at that backlog and the vast majority of that is coming down to a small handful of hyperscale customers. We've got very good visibility there, and feel very confident around the nature of those customers in a growth, a lot of those are driven by technology and cloud related industries. And so, we don't see any concern as it relates to this backlog. In fact, a number of customers in that backlog are actually reaching out seeing if we can accelerate delivery times. We haven't had any requests from those customers to slow them down. In terms of the funding plans with a JV partner, we do not have a JV partner built into our funding plan. So the $342 million that gets us funded through this year and into next will happen without the need for any JVs. That doesn't mean we're not open to doing more JVs. We're in conversation on a regular basis with Alinda, we love that partnership. And there's additional capital out there as well. But what we look for in the JV is the right circumstances, taking a partially utilized facility that still got more growth, we'd like to maintain a lot of that growth for existing shareholders and managing those returns. So to the extent that we do ultimately engage in JVs, that would either enable us to accelerate our CapEx or shift some of this equity capital towards the JV partner and just provide more upside.
Operator: Our next question will come from Erik Rasmussen with Stifel. Please go ahead.
Erik Rasmussen: Thanks for taking the question and nice execution in a challenging environment. To my one question, I'll circle back to Ashburn again, it sounds like you have seen a nice pickup there. What we're hearing also is that, some several providers are out of or starting to get out of a available power starting to be a little more challenging? Are you seeing that as well, and where there's an opportunity even for some of the public operators who do have capacity to sort of come in there more favorable market dynamic in relation to what we've seen in the past six plus quarters. Just some thoughts on the Ashburn market?
Chad Williams: Yes, thanks, Erik it’s Chad. Ashburn been one of those it's a defining global datacenter market. And it certainly has a capacity, but it's also got a lot of demand. And I look for demand to be healthy this year in Ashburn. So I think, it continues to be a trend and it's a lumpy business as we all know in hyperscale. But I do think the cloud and IT services, companies are going to be active over the next 12 to 14-15 months.
Operator: Our next question will come from Richard Choe with JPMorgan. Please go ahead.
Richard Choe: I had two questions, but I’ll ask it as one. Chad, can you give us a little more color on how existing customers are using SDP and the feedback from new customers? And then Jeff, what's the velocity of SDP in terms of going from new logins, new users to actual revenue?
Chad Williams: I’m going to Richard, good to talk to you. Jon Greaves, do you want to take the first part of that question, I think that's well suited for you.
Jon Greaves: Absolutely and Richard good to speak to you so, I think what we've seen is a lot of folks leaning on SDP more heavily to kind of balance their workloads with inside the datacenter and manage the connectivity portfolio. And that includes both the physical portion of that where they're leaning more on QTS to provide remote hand services, but also the virtual portion of that providing new connectivity options and then moving workloads within the datacenter. You actually look at the applications in SDP that are getting the heaviest use now power is definitely one of them where customers are spending a lot of time analyzing how they can distribute workloads within their environment to maximize their utilization and also the connectivity tools both in terms of IP bandwidth, but also in cross connects and virtual cross connects. Internally, we're using SDP into new ways as well, which is a pretty interesting helping us from an operational efficiency point of view. So things like understanding movement within inside the datacenter so we can help maintain zones to separate personnel inside the datacenter. Even small things which become very critical, alive understanding, which is the biometric device - are being most used. And we have real time visibility to that across the entire platform.
Chad Williams: And Richard, just from my point of view on this, right now we're seeing the acceleration of our business, the differentiation of the offering that we have being a substantial driver of that value equation. Could there be a day that we have some form of premium service versus standard service, it's possible but right now, we feel very comfortable about just the sheer demand and openness as we - every 60 to 90 days as Jon and the team say, we upgrade our datacenter, right software is constantly being upgraded. So the ability for us to drive that and really be a value equation to our customers is differentiating the ability to outgrow. And I think the point Jon makes about we continue to not only be externally focused, but internally focused. And as we continue to see costs and margin expansion because of the efficiencies that platforms giving us, it's just a powerful combination. And that's where we're focused on it, but maybe someday. And we are seeing that in selling Remote Hands and connectivity, as Jon said, driving some revenue, even though it's not been material, it's still parts of the business that's continuing to see acceleration because of it.
Operator: Our next question will come from Eric Luebchow with Wells Fargo. Please go ahead.
Eric Luebchow: Thanks for squeezing me in. I know there's a lot of focus on Ashburn, but wondering markets outside of Ashburn where you're seeing increased activity from your hyperscale customers and what your hyperscale funnel looks like in some of those other markets. So for instance, Phoenix, we understand had a pretty strong start to the year at an industry level or what kind of activity you seen in Europe, and you're relatively new, Netherlands facility as well, that would be helpful? Thanks.
Chad Williams: Thanks Eric. I'm glad you asked it because we are seeing a broad pipeline of opportunity. So it's not just Ashburn. Ashburn’s been a really strong success case and I know why people are focused on it. Maybe the success case that people will start to talk about Atlanta to Downtown Metro is not open yet, it opens this summer and we've booked 16 megawatts of clients into that building already before it's opened. So those are existing relationships, continued hyperscale opportunities that continue to grow. We've announced those deals at the high end of our 9% to 11% range, partly because of our just advantage on scale and price and cost in that market. So, we continue to be enthusiastic about the opportunity get Atlanta open, with such a strong opening, and we're seeing good diversification. We talked about, last quarter with the Hillsboro anchor client, that's exciting. The Netherlands will open late this summer, probably from that standpoint we're just seeing consistent reliable growth in the hybrid colocation facility. And we're building pipeline for the hyperscale facility in Eemshaven. So, we see a good balance across the portfolio. It's nice to have datacenters where people are interested in having conversations and we see that across the portfolio.
Operator: Our next question will come from Jon Peterson with Jeffries. Please go ahead.
Jon Peterson: So Chad, you mentioned IP bandwidth upgrade requests were up 700%, I think from a year ago. Curious if you can give us some context on the different regions where that demand is dispersed. And more specifically, I'm curious about Richmond, given that the subsea cable lands there. Are you seeing - is that one of the facilities where you're seeing significant bandwidth demand?
Chad Williams: Thanks, Jon. Jon, I may have you take on some connectivity conversation there and I'll close out. 
Jon Greaves: Yes, absolutely. So yes it's really across the portfolio, Jon. So we see kind of all the usual suspect markets are all increasing from a connectivity point of view. Richmond has certainly been a very interesting market with a lot of new logos in the market over the last 12 months, and both new logos as they kind of bed in and they transfer more to this digital workplace right now. We do definitely see connectivity increase in that market as well.
Operator: Our next question will come from Sami Badri with Credit Suisse. Please go ahead.
Sami Badri: I have a two part question. The first question is, given the COVID-19 dynamic, and just given what you've seen with enterprise customers and both hyperscale customers. Do you think the likelihood of outsourcing to really take off - take full precedence over most of these customers predominantly in sourcing? I know for hybrid or enterprise customers, things have already started to move to the outsourcing model? But for hyperscale, there's seems to always be about a 50/50 split. But given the dynamics you’re seeing, do you see the outsourcing bucket really gaining traction?
Chad Williams: I think it has traction. And I think, Sami to your point, it's going to continue to get more traction. So I think both in hybrid and hyperscale just the need for space and power in the right locations is going to be a continuing trend and I think that enterprises are continuing to unlock the outsourcing mindset as being a primary focus versus the in-source maybe of yesterday. So I think this event just accelerates it.
Sami Badri: Got it. And then one quick follow-up, are there any industries in the enterprise side that have now started to move faster to adopt outsource capacity versus before? Or have things really been in line with your expectations even from back in 4Q 2019 all the way up to this point today?
Chad Williams: One, I think financial services and healthcare have been, two, that I would not be surprised to see even further acceleration in outsourcing in those two areas.
Operator: Our last question will come from Nick Del Deo with MoffettNathanson. Please go ahead.
Nick Del Deo: Thanks for fitting me in. You guys have a history of engaging in a variety of unconventional acquisitions. Are you seeing an increase in the number of opportunities out there, whether it's corporate sale leasebacks or facility conversions, over levered datacenter operators looking to get out anything we should expect on that front?
Chad Williams: Nick, it's - we have had infrastructure rich low basis assets that's been a foundational, both great for sustainability initiatives that we have to be good stewards but also great for our returns profile and return on invested capital, which is the derisk higher return focus that we have in the business. Could you see some opportunities? Right now we feel really good about the U.S. footprint. We feel great about the opportunity to start in Europe, in the Netherlands. I think right now we can more than double our square footage with just the powered shell we have today. And we own some of the most unique ground adjacent to all of our mega datacenters in the country. So we've made investments over the years. We've got a big footprint that can expand. And I think the opportunities that we have and the locations we are, we don't feel like there's a lot of gap. So, you always kind of stay consistent and looking at the fabric of creating value. We haven't built this company on acquisitions of other companies. We've built this company by going and creating the value with our team and our capital. So that's going to be an inherent D&A of this company. But we always will take calls, but right now we feel very good about the footprint we have and the opportunity to expand it's in front of us.
Operator: Well I’m going to close our question-and-answer session. I would like to turn the conference back over to Chad Williams for any closing remarks.
Chad Williams: Well, thank you. And we hope that all of you are healthy and safe, stay safe. We appreciate the hard work that everyone's doing in this remote work environment. I especially want to thank our QTSers that continue to provide world class service to our customers, a culture of service and serving others that is who QTS is. I want to thank you for that and stay safe. Look forward to talking to you next quarter. And thank you for your time today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.